Operator: Good day, and welcome to the Full House Resorts' Third Quarter 2016 Earnings Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to Lewis Fanger, Chief Financial Officer of Full House Resorts. You may begin.
Lewis Fanger: Thank you. Good morning everyone. Welcome to our third quarter 2016 earnings call. Before we begin, I need to remind you that today's conference call may contain forward-looking statements that we're making under the Safe Harbor provision of federal security laws. I would also like to caution you that the company's actual results could different materially from the anticipated results in these forward-looking statements. Please see today's press release under the caption forward-looking statements for the discussion of risks that may affect our results. Also, we may make reference to non-GAAP measures such as EBITDA and for a reconciliation of those measures please see our Web site and the various press releases that we issue. We're also broadcasting this conference call on our Web site at fullhouseresorts.com where you can find today's earnings release as well. With that all said, I'll turn it over to Dan?
Dan Lee: Hi, good morning. We're talking to you all from Rising Sun, so I apologize to people on the West coast that we're so early -- morning there, but we've got a meeting with [indiscernible] engineers later today in Louisville to [technical difficulty] here. And so, a few things, we opened the Christmas Casino yesterday at Rising Sun, which is bigger and better than last year, and of course it was pretty successful for us last year, so we have high hopes for that. The reindeer out there, we added a skating rink, and a venue to visit with Santa Clause, and on the more decorations, so the place looks great. And a little bit early, but if we're going to spend all this money on decoration and putting it up and everything you did want to do it just for a few weeks, so we always start early in November. But looking at the quarter, it's kind of a transitional quarter. We had -- it was our first full quarter with Cripple Creek, and of course we're doing the rights offering, which closes today. And so we -- it was busy quarter, and we started a lot of the construction of the rights offering as designed to fund. At the Silver Slipper revenues were about flat with last year, up slightly. We had part of the hotel open last year, and the entire hotel was open for the entire quarter this year. So it's a little disappointing that we're only up $100,000 in revenue. But it's understandable, all that flooding you saw in Louisiana, where literally houses has water up to their roofs, that's where our customers live. That's the area on the north shore [ph] of Lake Pontchartrain and east of Baton Rouge, and that's our most important customer area, and that didn't help. So the month of August was kind of a washout, I guess pun intended. And so I think ultimately this could actually turn out to be a positive for us when people get their insurance checks and they feel doing better about life they show up again, but it did not help the quarter. We do have -- occupancy was pretty good at the hotel. We finally got it up to about 90%. That means we have 10% of opportunity there, and we continue to work on that. And of course it's mid-week, and we're adding a swimming pool down there which is designed to help fill that mid-week occupancy. That'll be done by May. A little complicated because the pool has to be built on pilings, we're in such a sandy location if we just put a regular pool it'll sink into the sand, so we have to put pilings down to support the pool.
.: And here, we did the Christmas Casio, which hopefully will be at least equal to last year because last year we did really well. The trick is whether the second year is even better than the first. I hope it will be. And we wanted to make it bigger and better. Frankly, I'd be happy if it was just equal to the first. It's a little bit like a movie coming out of Hollywood, the sequel rarely does quite as well as the first one. And so in our case we wanted to make sure that we did at least as well as last year. The ferry boat we didn't receive during the quarter the approval from Boone County, Kentucky to operate a ferry boat from the land we own across the river. Now we are eminently affected a, I think submitting the plans to the [indiscernible] engineer for the two short roads and ramps that run on both sides of the river takes their approval. They're not there to say no, they're really there to tell us how to do it so that we don't impede the flow of the water or the floodplain, which is their primary concern. And so we will obviously make any adjustments they ask for. But the idea whether there should be a ferry boat I think has been resolved. But that does take them some period of time, so it probably takes them four or five months to go through all of their different procedures, and then frankly we'll buy a ferry boat and build the roads, and should have it up and running next summer. At the moment the timeline shown is August, I'd like to see if we can beat that a little. But that's the ferry boat. The designers are working on the designs for the VIP room, and the other changes to the pavilion and the casino. The RV Park, we'll start construction in a few weeks. It's been approved by the town subject to reviewing the final drawings of the engineering plan, which has been prepared and will be submitted to the town, I think next week. We want to actually open the trenches before winter. And then that you have to dig trenches for sewer lines, and water lines, and power lines to get to each of the 54 RV spots. And the sewer lines in particular are tricky because sewer lines have to decline at about a 7% grade to work properly. And that means at the deepest spot you're down like 15-20 feet to where it hooks into the main sewer line. So those trenches have to be open. And then during the winter the plumbers and electricians can put in the pipes and wiring. It doesn't get super cold here. I mean, it does get cold, but it's not like Vermont or New Hampshire or something. And, matter of fact, they dress warmly, and they're happy to have work during the winter generally. And then, by the time we get to spring everything would be in place. You push the dirt back in, you put the asphalt down. You can only pour asphalt when it starts warming up again. And then we're opening business in the spring, so the repurchase coming. Steve, am I missing something here [indiscernible], I guess that's it. And so the fourth quarter should be pretty good here because of Christmas Casino. We acquired Bronco Billy's, it was a private company. We had to teach them about Sarbanes-Oxley, and GAAP, and all that stuff, which is fine to run by the same people, but as a private company they were kind of on a cash basis. But we've got that pretty much resolved, and [indiscernible] is doing fine. Had EBDIT of $1.6 million in the quarter, and we think it'll continue to be consistent as it has been in the past at about $5 million a year. We have started the process, very, very early stages of figuring out the hotel that we'd like to build next door. We don't have the money for that today, but it takes a while to design one of these things properly. And that's Bronco Billy's. In Northern Nevada, a lot going on at Stockman's, we tore down the administrative building that kind of blocked the view of the property. It was pretty remarkable once you tore it down that you can see the Casino, which was kind of nice. And the parking lot is going in pretty fast. And then we're putting a new [indiscernible] on. All of that should be -- and new big new reader board sign, all of that should be done in the fourth quarter. Now we have to build the new administrative office building. Right now they're working out of construction trailers, and we'll finish that in 2017 on budget, on time; it looks great. The Grand Lodge, we've got the designs done with Hyatt and TAL. And we're starting to order stuff to go into it, but we're going to -- we had hoped to do all of the refurbishing there between the end of the sky season and the beginning of the summer season. The construction firm however is saying that it probably can't be done in that short a window, so we're going to end up closing part of the casino right after New Year's so they can start there where we're substantially redoing the bar. And we should have everything done by the middle of June, which prepares us for the big July 4th weekend. So that's coming. A very exciting design, it'll be quite different than it is today. Hyatt is funding $3.5 million of it; we're funding $1.5 million of it. And now that the -- in the quarter Stockman's did fine despite our bulldozers and everything, it doesn't really impede it at all. The customers are part -- behind the casino for years and walked around the corner to get in. And that cap is not at all blocked. When it's all done, they'll have a much easier access. And so it did fine. And Grand Lodge was off a bit; win percentage wasn't great there either. And the summer is a little bit soft at Tahoe, and I haven't figured out -- the economy has been fine. We're the only real casino on the North Shore. There is a competitor on the South Shore, which is the Hard Rock, but it's 45 minutes away, and nobody lives in-between, and it's all federal land in between. So it's not like there's somebody who comes out of their driveway and decides to turn right instead of left. But we were off like 3% this summer in going in. And I haven't really figured out a reason for it. But I think the refurbishment will be positive for it. And then -- yes, that's it. Add all that stuff up, it's about $10 million. We have $23 million in cash on hand today, about $10 million of that is used in day-to-day operations. So we have some surplus cash, a little more than $10 million in day-to-day operations on $99 million of debt. Some of that debt is pretty expensive, so of course we'd like to pay some down. But when we have all this stuff under construction and the rights offering was designed to help fund all of this, as well as to prevent our bank debt from going up 50 basis points in cost, which it would've done if we hadn't done the rights offering. So the rights offering was quite successful, about 70% or 71% of the shares exercised their direct rights. So we were looking to issue just under four million shares which raised $5 million even. And of the just under 4 million, almost 3 million exercised -- or more than three million exercised their direct rights. And that left 1.1 million that weren't exercised. I had guaranteed completion of the deal, and I got no fee for that, but I did have the right to buy the first million shares. Unfortunately where the numbers worked out, that only left about 100,000 for the overallotment, and the overallotment was vastly oversubscribed, and so we're working on the final numbers on that, expect to close it today. People will get their shares, and sadly most of their money back -- be sent back today or early next week. So people will get some shares, but it's going to be 2% or 3% of what people requested. And frankly, we love the support people showed. I kind of scratch my head, I wish we had had the foresight to put in the original prospectus that the Board could increase the size of the deal a little bit if they chose to, but it wasn't in that original prospectus. So we're kind of bound to where we are. Some people know, I wrote a check on just that, of 1.3 million. I also exercised the direct rights and oversubscription rights related to the stock I already owned. So in total I increased my investment in the company by about 1.4 million -- maybe a little north of 1.4 million. And I think other directors did as well. Virtually all directors did. And so the investment by the Board in the company went up quite a bit, and obviously representing our confidence in what we're doing in the future. Lewis, did I miss anything?
Lewis Fanger: No, you're good Dan. Just really quick, we did throw a new [indiscernible] in the liquidity section on the press release for you. You know we are a pretty strong cash flow generator. And since we haven't filed the Q yet, that'll happen on Tuesday of next week. We did put in there steps that you can see the cash flow provided by operating activities. It was $6.2 million for the first nine months of the year; CapEx was only $1.7 million. I know a lot of you will get free cash flow yields. So there are some statistics there for you as well. But other than that…
Dan Lee: What's our free cash flow per share?
Lewis Fanger: Well, we had 19 million shares before the offering.
Dan Lee: Okay. And we had net income of zero, but we have a pretty significant depreciation charge for the size of the company, and amortization of debt issuance costs, and so on. So we actually generate pretty good free cash flow while having no net income. And at the end of the day it's free cash flow that creates value in the stock. So on that, any questions?
Lewis Fanger: Actually we're ready for some questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Great. Hi, Dan, hi Lewis, how are you?
Lewis Fanger: Thanks, we're good.
Dan Lee: Good, quite good.
Chad Beynon: Great. Congrats on everything with the rights offerings. This is a pretty exciting time for your company here, and nice to see that everything is on track. So maybe if we can just kind of start with that on a high level standpoint, when you underwrote these projects and you looked at all the properties, you set your capital budget at each property, and you're sticking to those numbers, and those are obviously based on some internal return metrics. Could you just talk about what you've seen in the market in the last three or six months, if your expectations on the returns for this $10 million infusion, if those return profiles have changed? Thanks.
Dan Lee: Yes, the returns, each of these obviously we had returns which we shared with our Board, and we'd share them with you too, but our lawyers would have a heart attack, and we like our lawyers, so we don't want to do that. But I think the worst of them was about a 20% per year return cash-on-cash, and the best of them were probably higher than that and some potentially higher, but a lot of it is guesswork. Like the ferry boat, for example, I think has a very high return. But we're going to put a little ferry boat in to carry 10 cars, it goes across the Ohio River to a bunch of people that today takes them almost an hour to drive here, and with the ferry boat takes three minutes. And so it's pretty clearly a plus, but trying to figure out how big a plus you can get numbers all over the place. I mean, that thing could pay for itself in a year, or three years, or five years. And so -- but I think your bigger question is kind of what's the temperature in the regional markets. And I guess in some ways we have more inward looking things that are more important, like [indiscernible], more people come and see our live reindeer than the last year. But in a general sense, I would characterize the Mississippi market, which is our most important property; it's been a challenged market. And it wasn't a great quarter for us largely because of that. And if you sort out all the different stuff going on, but it rained like you wouldn't believe down there in August. It just rained, and rained, and rained. And with such flat land the water had no place to go, and it flooded big areas. And we had a number of good customers who lost their homes. Our own property didn't flood, but where our customers live flooded. And I think that affected New Orleans, it affected the Mississippi Gulf Coast. Apart from the flooding period, which actually lasted several weeks, you also had the Olympics, which is not a plus in the quarter, people stay home and watch the Olympics for about 10 days, and it does compete with us. And that's something I've contended with every four years in my career. The Winter Olympics doesn't seem to affect people much, but the Summer Olympics definitely competes with us for people's attention. And then in Mississippi you had the Scarlet Pearl Open, which I think is a big plus for us because they're doing poorly. And that's going to make it really hard for anybody else to get financing down there. There's no limit on the number of casinos in Mississippi, and so there's almost no limit on the people running around with potential casino projects. There's lots of different land available, and almost -- I'd say, almost once a week, somebody calls me with a project in Mississippi somewhere. But the Scarlet Pearl was about a $300 million project. Their revenues seem to be about $6 million a month. And if you work that out, it means their EBDIT can't be more than $5 million or $10 million on a $300 million project. And they've put in a lot of equity, so they don't have that much debt on it. So I don't know if it goes bankrupt, or restructures, or just simply is a very poor return. And part of their thought was they would try to cut people off before they got to the main strip where Beau Rivage and the Hard Rock are. And so they are just before the I-110 bridge that leads over to the barrier island [ph], and so they thought that would give them some advantage. But customers driven in from Mobile, Alabama or Tallahassee, Florida, they've driven an hour or two and you're trying to cut them off 20 seconds before you get to Beau Rivage. And Beau Rivage is sitting there with a place that 15 years ago or 20 years ago costs $700 million. And the replacement cost of that place today is probably $1.2 billion or $1.3 billion. So build a $300 million place that has a 20 second advantage is just not going to work, and hasn't worked. And so if you look at the Mississippi Gulf Coast numbers in general, they're about flat. We've actually outperformed. We're up a little bit in a market that's flat, depending which time period you look at. But if you take out the Scarlet Pearl the market on a same-store basis is actually down a little. And so they're a very competitive market. Now, we're at the far west end of the Mississippi Gulf Coast. Our customers don't come from Mobile and Tallahassee; they come from the north shore like [indiscernible] train, but even there we're competing with the Hollywood Casino, which we generally have revenues pretty similar as theirs, even though they have three times as many hotel rooms, and they have a spa and a golf course which we don't have. But frankly I think we're nicer, we have better food, better staff, friendlier people, and we're a little faster on our feet. So we compete pretty well with them. And then Island View, which is the big one -- big competitor of ours, they're a little further from the [indiscernible], but they're a much bigger hotel. And they added 400 rooms in May of 2015. And it didn't seem to do much for their revenue. So now they're pretty aggressively marketing. So it's a very competitive market. We also compete with Harrah's in downtown New Orleans. But Harrah's has been a confused company for 10 or 15 years, and that hasn't changed, so that's fine. And so that's that market. In the Cincinnati area no new casinos have opened, and for years now I guess, and so nobody likely to open. Kentucky was moving towards doing stuff, and then the governor, who is adamantly in favor of it, lost election. And the guy who was elected is a much more conservative individual. So you did have the Horseshoe rename themselves to the dumbest name I've heard yet for a casino called Jack's, and that caused their revenues to be a little weak. But generally, this is a stable market. We are the smallest player in the market in terms of revenues. And so the Christmas Casino, if it brings us a few million dollars of revenue, we think it's phenomenal. And then you start looking to market share, it might have moved us from 2.2 to 2.4, but it seems to be a stable market. The only change out there on the horizon is the race tracks outside of Indianapolis in three or four years are allowed to have tables. They already have the digital tables there. They have the slot machines that have the video monitor that looks like a dealer, but then they hire a person to actually stand there to pretend they're a dealer, and then they basically help you get drinks and so on. But they pretend they're a dealer, so it feels very much like you're sitting on a blackjack table, but they will get actual tables in three or four years. And it wouldn't surprise me if they go into the legislature and try to accelerate that in the coming legislative session. And we're continuing to try to figure out a away to take our excess capacity from Rising Sun, where we're permitted to have about 2,000 gaming positions. We're allowed to have 1,500 gambling games, which is the term they use. But a gambling game is one slot machine or one blackjack table. And of course, blackjack table has six or seven positions, so that's really about 2,000 positions. And we only need about 700 or 800 positions to maintain the revenues we have here. So we'd like to figure out a way to relocate half of our capacity. It would be good for the state. The state, 20 years ago, put its casinos all along the border in order to draw revenues from Ohio and Illinois. A third of the people in Indiana live in Indianapolis and it has no casinos, and it's in the middle of the state. And the second biggest city in the state, Fort Wayne, also has no casinos, and so the state's revenues are down by about a third. The gaming tax take is down by about a third. And so we've been arguing for a while now that the state should reexamine this, and allow some of that gaming capacity to move to places where it generates jobs, where it generates investment, and where it will generate more tax revenues. And so we had the proposal, called American Place at the Indianapolis Airport responding to an RFP that the airport had put out, the airport then pulled the RFP. I guess the airport board wasn't real keen on our proposal. But it's a big state, there's lots of other places you can go, and we've been looking at that. But it's political, any relocation like that takes approval of the state legislature and either the signature or the override of the governor. And there's a governor's race that's going on now, and it's a very conservative state. So that the [indiscernible]. I mentioned Tahoe, we're not quite sure why it was a little bit weak there, but it was. And there might be competitive impact from the Hard Rock itself Lake Tahoe. And then Fallon is a very small town up by the navy base. The Tesla factor is being built. It might help us a little; I don't think it hurts us. I'm not sure it's going to help us much. But the navy base, it's a naval air station, and they seem to be expanding, and that's positive for us. And then Cripple Creek, the revenues for the market were about flat this summer, up a little bit. The market was actually up a little more than we were up, so we're examining marketing programs we can do. I hate to lose market share, and so we're looking at that, but seem pretty stable. So, Chad, I don't know that answer your question?
Chad Beynon: Yes, that's great.
Lewis Fanger: I'll tack on a little more there too, Chad. I will say, we do have a competitor in Cripple Creek that's building or they're taking an existing space and turning into a bigger hotel. That's good at the end of the day. Cripple Creek only has about 500 rooms total for the 700,000 people that live in Colorado Springs, in that whole metro area. And so we want to do a hotel for the same reason, that that town is very under-roomed, we feel. If you go back to last quarter, Chad, we talked about hitting a $25 million EBITDA figure in the next couple of years, and we haven't really wavered from that thinking. We want to hit four times total leverage. And if you think about net leverage, we're a turn less than that. We'd be at somewhere in the ballpark of three times net leverage if we hit $25 million of EBITDA. And we feel very good about our chances of hitting $25 million.
Dan Lee: Yes, I should mention that now with the rights offering done we're looking at amplifying the discussions with the banks to redo the bank deal, which only has two-and-a-half years to go one, and extend it. And then they like to basically do a new bank deal, five-year bank deal. And we'd also look at refinancing all of our debt, because of the second lien debt. The first lien debt has a shortish maturity, and so we definitely want to fix the maturity. And second lien debt is expensive. And I think as our results improve, and our equity builds we have an opportunity to [indiscernible] more reasonably. And we're frankly a much more diverse company than we were when Lewis and I got here two years ago. And things are trending pretty well. So we're probably paying 200 or 300 basis points higher on a $100 million of debt than other companies with similar leverage as us. And we're pretty intent on trying to fix that. And obviously it makes a pretty big difference to the free cash flow per share and the equity value, if we can do that. And we should be able to do it.
Chad Beynon: Yes, that sounds great. One other, just looking forward on the cost side of things, we're seeing wage growth pick up a little bit around the country. And you or the general manager at these properties have run them for some time and good stable base of employees. What can you do to maybe offset some of the inflationary pressure that we'll see in 2017? Are you not really seeing that outside of just putting through the revenues and getting the natural flow through that you would see excluding the gaming tax and the marketing in the business model?
Dan Lee: It's funny [indiscernible] one of our competitors in Cripple Creek tried to hire one our key guys, so were in overdrive this week in persuading him to stay, and I'm happy he has stayed, and he's very important, and frankly he was underpaid, and we adjusted him accordingly. So you do run into those situations. So I think that was a particular case, a very talented young man, and they viewed an opportunity to get a talented person and hurt a key competitor, and found out that we could be pretty competitive in keeping our people as well. So when you talk about inflationary pressure, obviously you have to pay people what they're worth or they're won't work for you anymore. But there's more than just money involved. And then the people want to work at a place where they can have fun, where things are going positively, where there's career opportunities, where they're treated fairly. And we've worked very hard to be that sort of employer, and it takes time. Quite honestly, I think the attitude was a little oppressive before we got here, and I think we've made it a place where people want to work. And we actually have very little turnover. Now, you still have to pay people appropriately, and we do, but it's not just salary. Our biggest challenge on payroll has been healthcare. And with presidential election next week, it's a topic. I mean, our health plan is significantly more expensive than it was before Obamacare, and significantly worse. I mean, the deductibles are higher, the coverage is worse, and yet the cost to the company is significantly higher. And I think you could hear that from any CEO in the country. And that's our biggest challenge in terms of people. The other inflationary challenge I worry about -- worry about or I'm aware of, is the slot companies which win oligopoly thanks to you guys at Macquarie who have sold one to the other, and one to the other, and all of a sudden there's only a handful of them. And I say that in jest, it was a good job. But at this point you have the slot companies, who we have a love-hate relationship with. Because they come up with these crazy wild machines that people want to play, which is great, that's good for our business. And then they charge us $25,000 per machine or worse, they insist on getting a share of the revenue, and that's bad for us. So it's kind of a constant battle, and it's synergistic, but at the same time what we end up paying the slot companies I find sometimes is egregious. If you look at what an ATM machine costs at a bank drive-through window, which is an armored [indiscernible] machine, but it has everything in it that a slot machine does. You could buy one of those for about $5,000; a slot machine is $25,000. On the other hand, the slot product that's coming out is very good. And it's interesting, and different. For example, there's a new machine, just as a good example to explain it, and it's how do you attract the millennials, which everybody is talking about, how do you attract the next generation who has grown up playing video games, and for whom triple-play poker just isn't very exciting. But there's a new machine -- now let me -- if you think of video poker, the first thing you have is an element of chance. In other words, the machine deals you a hand of card, but then there's an element of skill, you then choose which cards to keep or turn in, and then you find out whether you won or lost. And that's what the gaming commissions require, principally there has to be an element of chance, but then you can have an element of skill. Well, there's a new slot machine out there that's basically a race car thing, and it doesn't have a slot handle or a slot button, it just has a joystick. And it puts your money, and then it chooses one of 14 racetracks at random. And some of them are easier than others, some of them are virtually impossible. But then you drive your racecar down the racetrack and see if you can make it to the end without going off the road or can you beat the other cars, and so on and so forth. So it's a racecar slot machine, but you can win or lose. And it's of course got this giant curved video screen, and a chair with audio in it, and vibrations in it. And it feels like it belongs in an arcade, but you can win or lose money with it, so it's a slot machine. And if you walk into virtually any casino today, you can see every casino is trying to struggle with that a little bit because the rooms that we operate were designed for slot machines of a certain size. And off of a sudden the manufacturers are making these things that are 12 feet tall, and four feet wide, and they kind of don't fit in the decor that you have. And so I walked through Bellagio the other day, and there's a cluster of these machines, and boy, they looked out of place. But oddly enough, I walk through the Cosmopolitan, which had had kind of sterile casino with a higher ceiling, and they've put in a bunch of new machines. And frankly, it was a radical improvement of that casino. And so we're trying to figure out how you do that, and the cost of it, and how do you pay for these machines because it's expensive. I think ultimately it's good for our business, but it's expensive. So, when you talk about inflationary pressures that's what I worry about, I worry about healthcare costs, and I worry about the cost of slot machines. Construction costs seem to be fine, and the price of tomatoes and towels doesn't change much over time.
Lewis Fanger: Yes, I'll tack on a little bit to that, Chad. If you think about a year-and-a-half ago, when we got here, we really had employee retention problems. Our Fallon casino, what do we have, Dan, 85% turnover two years in a row. And it's kind of on the opposite way now. The quality of the resumes that we get on a daily basis from people that we've been fortunate enough to know in our past, it kind of blows me away on a daily basis, that a company this small gets such unbelievable attention these days from people looking for new jobs.
Dan Lee: Well, we don't intend to be small very long. And if we can grow, mostly internally, and continue to grow -- I joked with Jim [indiscernible] not long ago that I intend to double or triple the size of my company, what the hell is he going to do for shareholders. And that's a joke of course, Jim does a great job, but from an employee perspective, growth rate is opportunity. It's also the value of the stock options, but it's clear opportunity, and a small company intrinsically has more career opportunity.
Lewis Fanger: There you go, Chad.
Chad Beynon: Thank you guys, appreciate it.
Lewis Fanger: You got it.
Dan Lee: Any other calls, or have we scared everybody from asking now because we've talked for a half-an-hour on that one.
Operator: [Operator Instructions]
Dan Lee: Well, Chad, thank you for asking questions that [indiscernible].
Operator: All right. And it appears that there are no further questions. I would like to turn the call back over to Mr. Fanger for any additional or closing remarks.
Lewis Fanger: You got anything, Dan?
Dan Lee: No I think we covered it. And I thank everybody for your support. Thank you most of you who participated in the rights offering. I apologize that there wasn't more over-allotment shares available, but I guess that's a good thing because people exercise their direct rights. And frankly, that $5 million is disproportionately important. It allows us to do a lot of things to the different properties without stretching the balance sheet too hard. And frankly, our banks see it as a very strong important line of support. Our discussions with the banks are dramatically better now with only $5 million of equity. I mean, it's just the fact that shareholders and the Board, and me have shown our confidence in the company. And so I think that'll be instrumental in getting our debt refinanced on better terms. That's it. Thank you very much.
Lewis Fanger: Thank you everyone.
Operator: And that concludes today's presentation. We thank you all for your participation. And you may now disconnect.